Operator: Good morning. My name is Charlie, and I will be your conference operator today. I would like to welcome everyone to the Cronos Group's First Quarter 2019 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Anna Shlimak, Investor Relations. Please go ahead.
Anna Shlimak: Thank you, Charlie. And thank you for joining us today to review Cronos Group's first quarter 2019 financial and business performance. I am joined by our Chairman, President, and CEO, Mike Gorenstein, and our CFO, Jerry Barbato. Earlier this morning, Cronos Group issued a new release announcing our financial results which are filed on our SEDAR and EDGAR profile. This information as well as the prepared remark will also be posted on our Web site under Investor Relations. Before I turn the call over to Mike, I would like to remind you that our discussion during this conference call will include forward-looking statements that are based on assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. Management can give no assurance that any forward-looking statement will prove to be correct. Forward-looking statements during this call speak only as of the original date of this call. And we undertake no obligations to update or revise any of these statements except as required by applicable law. Management refers you to the cautionary statement and risk factors included in the Company's most recent MD&A and Annual Information Form. By which, any forward-looking statements made during this call are qualified in their entirety. We will now make prepared remarks, and then we will move to a question-and-answer session. With that, I will turn the call over to Mike.
Mike Gorenstein: Thank you, Anna, and good morning everyone. In the first quarter, we took important steps to fortify our foundation for success and value creation both in the near-term and long-term. We believe that we have created the building blocks that will enable us to capture the significant growth opportunities in the global cannabis market for the benefit of our shareholders [technical difficulty]. I would like to start the call discussing the investment by Altria before moving on to the business highlights and turning it over to Jerry to discuss the financial performance. We are very excited to officially have closed the previously-announced $2.4 billion investment from Altria in March. We dedicated a lot of time and effort to close the strategic transaction, because we are confident Altria is the right strategic partner to have in our corner as we grow and push our business forward. We are already tapping Altria's expertise in innovation and product development, and look forward to continue to work with them. With Altria's backing, we expect to be better positioned to capture opportunities and accelerate the execution of our strategic initiatives. As an adult-use innovation leader, Altria's [indiscernible] enabled us to leverage their product design, manufacturing, marketing and distribution, and commercialization capabilities. Altria also has significant expertise that can serve as a foundation for cannabis based [ph] products as well as considerable experience with large scale manufacturing automation, pre-roll technology, and supply chain management. Like Altria, we believe that the best way to create value to the supply chain is by working with contracts farmers and not being farmers ourselves. This belief is why we are working to expand our production footprint globally by setting up co-manufacturing with agricultural partners, and we believe in the future, Altria can be helpful in these efforts given its own agricultural relationships. Another key benefit is the decades of experience that Altria brings in successfully navigating complex regulatory landscapes. That expertise which spans taxation, product registration, shipping, licensing, government regulatory affairs, and other legal issues will be critical to Cronos as cannabis markets develop, legalize, and open around the world. We are excited for the many opportunities we expect this relationship to create. Already, we are beginning to see the benefits of Altria's expertise, which has been instrumental in putting our strategy in motion. For those who are new to the Cronos story, I like to start each call by briefly reviewing the four key aspects of our strategy. At Cronos Group, we are establishing a global production footprint, which we believe will be instrumental in creating an efficient supply chain for the future. We are developing a diversified global sales and distribution network. We are creating disruptive intellectual property, and further, we are growing the portfolio of ionic brands and products that resonates with consumers. During this call, we will do a quick update on each aspect of our strategy and what we are able to achieve since our fourth quarter earnings call. In the Canadian market, our wholly-owned license producer in Center of Excellence Peace Naturals and specifically Building 4 are state-of-the-art purpose built 286,000 square foot indoor facility is continuing to come online. As many in the industry have noted, the time it takes to get licenses and approvals has increased. We are awaiting licenses in the last remaining flower rooms in Building 4. We still expect all flower rooms to be populated in the first-half of 2019, and we are constantly working on dialing in efficiencies and improvements in yields towards full run rate capacity in the facility's future. We are also seeing progress with our production joint venture in Colombia. In March 2019, a wholly-owned subsidiary of NatuEra received a license from the Colombian Ministry of Justice & Law to cultivate psychoactive cannabis and in addition to its existing licenses to cultivate and manufacture non-psychoactive cannabis and products. This license will allow for the cultivation and the manufacture of derivative products. Although we have received this license for psychoactive cannabis, our initial focus will be more heavily weighted towards growing hemp and CBD-based production. We are in the process of working on the design of the production facilities with our partners, and we'll provide more information on the status of this facility as soon as we have more definitive designs to share. We continue to expand our distribution footprint in the Canadian market for the adult-use channel. In January 2019, Cronos Group secured listings with a number of number of private retailers in the Saskatchewan Province. Together with our currently established distribution in Ontario, BC, Nova Scotia, and Prince Edward Island, we have secured listings in five provinces, which represent approximately 58% of the Canadian population. As our Canadian production capacity grows and comes online, we intend to strategically increase distribution within existing markets and expand into additional provinces and territories in Canada in a calculated methodical manner. We want to make sure we can adequately supply our current footprint on an ongoing basis before expanding in new markets. In January, the Israeli government approved the export of medical cannabis from Israel. This law will allow medical cannabis license holders who meet specific quality certifications to export medical cannabis. We intend to pursue export of medical cannabis products from Israel once production operations have commenced at our facility. As a reminder, Cronos Israel is Cronos Group's joint venture with the Israel agricultural collective Kibbutz Gan Shmuel. Cronos Israel is focused on the production, manufacturing and distribution of medical cannabis. The greenhouse manufacturing areas Cronos Israel are in full construction mode. We anticipate that the construction of the 45,000 sq ft greenhouse will be complete in the first-half of 2019 and construction of the manufacturing facility will be complete in the second-half of 2019 Cronos holds an effective 90% economic equity ownership across the entities in Cronos Israel. This week we also launched Cronos Device Labs. An impressive R&D facility with certain assets purchased from Altria Israel to accelerate our development of disruptive intellectual property. Cronos Device Las is focused on supporting the development of next-generation vaporizer products. The state-of-the-art facility will serve as our R&D center for vape technologies. The experienced team of 23 people is comprised of product designers, mechanical, electrical, and software engineers, and analytical and formulation scientists with extensive experience in vaporizer development. We know that the vaporizer space is one of the fastest growing and evolving categories with many consumers migrating to this convenient non-combustible consumption method. At the same time, the category remains in its infancy with few products that are specifically tailored for cannabinoids. These products are even less developed in delivering full-spectrum effect in a consistent and controlled manner. At Cronos, we are using the plant as a blueprint to learn and then create differentiated active ingredients. We will do this by reconstituting cannabinoids and terpenes in combinations that have specific psychoactive effects and/or potential therapeutic benefits. We then formulate those active ingredients to optimize bioavailability and customize them for the appropriate delivery system depending on the product. And Cronos Device Labs is specifically designed for doing just that in the vaporizer category. This new initiative is expected to significantly enhance our technology and development capabilities. And ultimately, we believe allow us to deliver expanded consumer product offering specifically tailored to cannabinoid use. We know that vaporizer will be an important product category and one that we are committed to leading through innovation, research, and product development. To conclude this call, I wanted to talk about our efforts and responsibilities and our commitment to consumers and all of our key stakeholders on this important topic. In April, our adult-use cannabis brand Spinach partnered with Arrive Alive DRIVE SOBER and foodora to encourage responsible sober driving. Every dollar raised goes directly to the campaign's road safety initiatives. The campaign works with police to raise awareness about impaired driving. We are confident that we [technical difficulty] will continue to resonate with consumers and will generate long-term shareholder value. With that, I'll turn it over to Jerry to provide a discussion on this quarter's financial results.
Jerry Barbato: Thanks, Mike, and good morning everyone. I'm excited to be part of my first Cronos Group's earnings call. Both our press release and MD&A includes -- comparisons of our financials to the same period [technical difficulty] in 2018. We also believe adjusted EBITDA is one measure along with the fourth quarter of 2018. We also believe adjusted EBITDA is one measure along with net revenue kilograms sold, and average selling price to evaluate the operating performance of the business. Adjusted EBITDA removes the impact of items that may distort underlying business trends and results. We have included a reconciliation of net income to adjusted EBITDA in our MD&A and our press release. The company reported an adjusted EBITDA loss of $8.9 million in the first quarter of 2019. The loss increased by 13% from the fourth quarter of 2018, primarily due to increased operating expenses, partially offset by an increase in net revenue. The company reported net revenue of $6.5 million in the first quarter of 2019, an increase of 15% from the fourth quarter of 2018. This increase is primarily due to two factors, first, dry flower wholesale revenue in the fourth quarter, which carries no excise tax reduction for 2019. The sequential growth continues to be impacted by the supply constraints in the market. As Mike mentioned, we expect to have additional production capacity online in the second-half of the year as we balance meeting demand today with focusing on the long-term strategy of our business. As we continue to invest in our business, our brands and R&D initiatives, our adjusted EBITDA will likely decline over 2019 will position the company for accelerated growth in 2020. Kilograms of cannabis sold increased 7% to 1,111 kilograms in the first quarter of 2019 from the fourth quarter of 2018, primarily due to increased cannabis production. As we look to 2019, we see that quarter-over-quarter increases will slowly scale in the first-half of the year as we ramp up production and with momentum for revenue growth building in the second-half of the year. Average selling price for the first quarter of 2019 increased 7% to $5.73 from the fourth quarter of 2018. As previously mentioned, this is primarily driven by the increased revenue resulting from CBD oil, which carries no excise tax reduction. We believe gross profit before fair value adjustments provide useful information to understand and evaluate operating performance by excluding the non-cash fair value adjustments associated with biological assets and inventory. Gross profit before fair value adjustments for the first quarter of 2019 was $3.5 million, an increase of 42% from the fourth quarter of 2018. This sequential increase in gross profit before fair value adjustments was largely driven by an increase in kilograms sold, and a higher average selling price, for reasons already discussed as well as a reduction in cost of sales before fair value adjustments program are fully loaded unit cost of goods sold. Unit cost of goods sold decreased by 11% to $2.69 in the first quarter of 2019 from the fourth quarter of 2018. This was primarily driven by productivity gains realized in our cultivation operations. Operating expenses for the first quarter of 2019 totaled $13.9 million, representing an increase of 12% from the fourth quarter of 2018. The increase is primarily driven by professional fees for services in connection with various strategic initiatives, and increased staffing levels across all functions within the organization in line with the company's growth strategy. In order to carryout our 2019 strategic objectives, we look at functions over the course of the next three quarters. Additionally, in March 2019, Cronos Group sold all of its approximate 19% equity interest in Whistler Medical Marijuana Corporation to Aurora Cannabis at an all share transaction. At closing, Cronos Group received approximately $24.7 million in value of Aurora common shares which the company subsequently sold for approximately $25.6 million in cash. Subject to the satisfaction of certain specified milestones, the Cronos Group expects to receive an additional $7.6 million in value of Aurora common shares. Based on market conditions at the time of the transaction and assuming all milestones are met, Cronos expect to generate in aggregate a return of 8.7 times on its investment in Whistler. You'll also notice that on a reported basis, the company reported a significant increase in net income due to various onetime items which are described in the MD&A and the financial statements. I would like to comment on one of those items. Altria's investments included a warrant and other financial derivatives that allow Altria to acquire additional shares in Cronos Group. Cronos Group will report these financial derivative liabilities as fair value each quarter. As such, there may be significant reported earning volatility primarily driven by quarterly adjustments related to the movement of Cronos Group stock price. In the first quarter, Cronos Group recorded a non-cash gains of $436 million related to the change in fair value of these financial derivative liabilities. We have included additional disclosures in the financial statements regarding the investments, the accounting treatment, and the impact of the financial derivative liabilities. Turning to the balance sheet, as of March 31st, the company's total cash position was $2.4 billion. In addition to providing us meaningful liquidity, the Altria investment affords us the flexibility to capitalize on opportunistic external growth opportunities and accelerate organic growth initiatives. I would like to provide some insights into the short-term use of funds received from Altria in March. As we continue to scale the business for future success, we will increase our capital investments related to production specifically as it relates to PEACE NATURALS facility expansion and automation equipment GrowCo and Israel facilities. As you are aware, the pending regulations related to the legalization of derivative products which includes vaporizers and edibles in the Canadian adult-use market will require increased investment as we work our way through 2019. Additionally, the launch of our vaporizer innovation center at Israel, Cronos Device Labs, will require investments to develop next-generation technology for cannabis and cannabinoid vaporizers.  This concludes my review of the financials for the quarter ended March 31st 2019. I'll turn it over to Mike for closing remarks.
Mike Gorenstein: Thank you, Jerry. In closing, the business in the first quarter of 2019 performed in line with our expectations. We continue to stay focused on creating a leading cannabis company that is well-positioned to capture the expanding global market opportunity by building our supply chain, distribution, intellectual property, and brand portfolios. We are delighted to have officially close to our transaction with Altria and to kick off the relationship. We expect to drive significant growth in value creation. This investment as well as numerous other actions taken in the quarter and the quarters to come will provide a strong foundation for Cronos Group. Let's now open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tamy Chen with BMO Capital Markets. Your line is now open.
Tamy Chen: Thanks. Hi, everyone. My first question is just wanted to talk on the inventory for a second. I noticed that the finished inventory was bit modest at the quarter end with more of it was work-in-progress, and just given the time that it seems to take now to convert harvest and unfinished products into the finished packaged goods, I am just wondering how should we think about the sales ramp for the next quarter and even for the second-half of 2019?
Mike Gorenstein: Yes, thanks for the question. I wouldn't read too much into one quarter's activity. As we mentioned on the call, our production at PEACE will continue to ramp up over the course of 2019, and we believe that harvesting more kilograms each quarter would naturally increase our work-in-process, and given that it takes about 45 days for [indiscernible] to go through drying, caring, and testing before it could be bottled, so work-in-process increases further pronounced by this gestation period.
Tamy Chen: Okay, thanks, got it. And my follow-up is just wondering on the Israel R&D center why there versus elsewhere? And can you talk a bit more about what do you mean by next-gen vapes? I think there are some vape products at that exist today with some level of metered dosage. So is that it's a new type of oil formulation? Or is it new additional features of technology on the pen itself that you are looking to develop?
Mike Gorenstein: Sure. Thanks. Why Israel? I think really we look at Israel as a global leader in cannabis research. And we already have production operators there with Cronos Israel partnership with Technion for preclinical trials for skin repair. And one of the things that was important to us is making sure that we could accelerate this initiative. And so, we actually took over the facilities and employees former Altria entity Altria Israel. So it's not a Greenfield operation, but it's a fully established R&D facility with technology, equipment, and talent that's already intact. And we think that the best course of action is to use are own R&D capabilities to develop the vapor product, but I think when you look at what's out there and you think of how these devices will come online, it's important to look not just at what the device itself it is, but how that device developed in connection with the formulation So what we're seeing other areas is that the formulation tying into the heating coil, understanding how to adjust the temperature control, tying that in the meter dosing, how much vapor is being released depending on what your consumer target is whether that's a large amount of vapor being released versus a smaller softer amount really could affect what occasion you are targeting. So I think it's putting all those together and taking those building blocks combining that with understanding what the spectrum of cannabinoids that we are using are whether that's primarily a THC or CBD based formulation or whether that's really making sure that the heating points are preserving flavor and really getting the most out of the rare cannabinoids that we are using. Having that platform, technology in-house and being able to iterate across vapor and flower, I think is very important.
Tamy Chen: Got it. Okay, thank you. That's it from me.
Operator: Your next question comes from the line of Chris Carey with Bank of America. Your line is now open.
Chris Carey: Hi, thanks for the question. So I guess just from a capacity standpoint, right, you did about roughly 1000 kilos in the first quarter and have and or working toward approximately 40,000 kilos in the term. How soon do you think that that gap can close? And what really needs to occur for that to happen? Is that the Canadian supply chain you need more distribution points to start to open up? Do you need more export markets to start to open up? So, I wonder if you could just provide some perspective on that.
Mike Gorenstein: Sure, as far as capacity, we expect that everything planted in the second quarter and then it's really matter of just continue to dial things in as we go. As far as distribution points and how we work through the supply chain, I think it's -- a big factor here is going to be what those ultimate formats are. So, you'll start to see also how we allocated for what product formats and that's really going to affect what the filling, package, and shipping is. So, I think you'll see a lot of that towards the end of the year with the expected unplanned change in regulations to what products we release start to open things up. And we expect that that may have even bigger effect in terms of opening the types of products and just the number of distribution of retail points that open up. And that's a very important market for us. So making sure that we are prepared is a real big an issue for us.
Chris Carey: Okay, okay. Thanks. And so, just more broadly right, you've got over $2 billion on the balance sheet and we've recently seen in the market, there are ways to create value that may be earned so obvious in a number of way.
Operator: Your next question comes from the line of Vivien Azer with Cowen. Your line is now open.
Vivien Azer: Hi, good morning. My first question was on, Mike, your comment on Colombia and your decision to prioritize hemp over marijuana, can you just offer a little bit more color on what informed that and how you're thinking about end markets and market sizing? Thanks.
Mike Gorenstein: Thanks, Vivien. So, a lot of what we're looking at is either import/export, and while, you know, we still will use and maintain the psychoactive license when we look at regulations for different product categories, and we start thinking of kind of the three main distribution channels. On one hand, you have traditional ethical pharma, and you have former regulations on import/export, it's kind of what you see in Germany. All the way on the other end, of the spectrum you've got recreational where it's extremely difficult import/export, this middle category, whether you're thinking of things opening up for the farm bill or what we expect to happen with CBD in EU over the next 18 months. We see borders falling much faster for non-intoxicating products primarily that are CBD-based. So, having a scalable, production base or input for CBD is something that's important, and I think market globally is going to expand probably more rapidly than the THC market, just based off of the ability to import/export. Otherwise, a lot of that product will likely be shifting towards domestic production for adult-use.
Vivien Azer: Thanks. And just a follow-up on that in terms of kind of capabilities around finished goods, is that something that you want to bring in-house, because at least based on what we're seeing in the U.S., delivery format for CBD is in highly varied, how are you going to address that?
Mike Gorenstein: Yes, I think it really depends on which format. So, there are certain formats that it certainly makes sense to bring in-house, and I think the more specialized and the more we feel we need to be able to have control to ensure that we've got consistency in quality and safety we will be bringing those in-house. And then, I think there are others where we feel that along the value chain, we can use co-packers and co-manufacturing. So, depending on the type of the oral ingestible versus vapor, where we know there are sophisticated and highly experienced partners that we can leverage. We certainly will do that. I think it also depends on which geography you're looking at, whether or not it's us shipping in ingredients, and then locally manufacturing versus being able to ship final product. So, I don't know if it's a simple to say all in-house versus all-contracted. I think it really depends on which geography, and ultimately which product.
Vivien Azer: Okay, that's helpful. And just my last one, on your comment around expanding your distribution and presence in Canada, as you get more supply online, clearly there's a balance between going deeper into provinces, where you're already present versus expanding into other provinces. And I just wanted to hear kind of your extended thoughts on that, Mike, because you've had a bit more of a nuanced view around kind of the ability to brand build so early in the market? And so, does that inform how you think about that choice [indiscernible]?
Mike Gorenstein: Yes, I think that's a great question. I think when we look at it, normally your issue is when you launch a product, it's trial. How can I get someone to try a product given how much of a shortage there is, I think right now, it's really about driving repurchase, and trying to get as much horizontal or let's say, virtual shelf space as you can right now launching a lot of skews across the country. Really when trial isn't a problem doesn't necessarily help for repurchase if you had stock out. So, our preference is to be able to have in those provinces the ability to start building up relationships with customers, be able to continually drive repurchase, and then expand from there. I think also, again, we think of formats in different categories and allocating supplies, we want to make sure that we can still fill a pipeline for new products that come online and follow that same strategy that will have enough inventory knowing there is a quick supply ramp for us to be able to make sure that in other formats everything is easier to build brand equity across Canada, we're really able to make sure that we get repurchases after trial.
Vivien Azer: Perfect. Thanks very much.
Operator: Your next question comes from the line of Martin Landry with GMP Securities. Your line is now open.
Martin Landry: Hi, good morning. I just want to come back on the inventory balance, Mike, in Q4, you had alluded to some bottlenecks or challenges in downstream and processing and packaging. I was wondering, ha the situation improved that you resolve these bottlenecks, and are you -- do you feel more comfortable with your post-harvest capacities?
Mike Gorenstein: Yes. Thanks. Good morning. I think that's something that is resolving and that we're working towards, but is not fully resolved yet, and I think as we're continuing to ramp it's something that we think should be resolved over the next few quarters, and it will likely come in different formats at different times. So, we focus on making sure that we're able to automate, and in one category, while still making sure we have some product going out the door manually and others, but it does take time to set-up automation lines for all products. But we do see that continue to improve and ramp and we're - that's really being accelerated by a lot of help we're also getting from pretty experienced packaging engineers and automation experts from Altria.
Martin Landry: Okay. And giving that your finished good levels are at similar levels as they were in December, should -- how do we look at revenues for Q2, should that imply that your Q2 revenues are likely to be stable versus Q1, or you still expect some growth there?
Mike Gorenstein: Yes. I think it should be relatively stable, you'll see some growth, but as we said earlier, we're really plan to ramp up finished goods in the back-half of the year.
Martin Landry: Okay. Okay, thank you very much.
Operator: Your next question comes from the line of John Zamparo with CIBC. Your line is now open.
John Zamparo: Hey, thank you. Good morning. I wanted to ask about capital allocation. So, similar to a question that was asked previously, and my apologies, I may have been cut off from the call briefly, but, Mike, you've been clearly you want to prioritize R&D and intellectual property, and that you're looking to avoid buying business plans, but I'm wondering what are your thoughts on quality and valuation of assets in the U.S. market and would you potentially look at an acquisition that gives you optionality in the U.S.?
Mike Gorenstein: Thanks. Yes, I think that when I talk about business plan versus businesses, a lot of that does relate to just general maturity of the business, whether specifically as I've applied for a license, do you want to buy my business, versus we built up a community and we have really strong relationships already built with customer. I think those are, one of the things we look at in the U.S. is having that relationship, having real velocity on a brand that we look at is valuable. And I think footprint and distribution versus brand is something that we do feel we have strong relationships already built in the U.S. on the distribution side, but brands are something that's important, and I think that you can find still good value. You certainly have to look at where growth is going to be coming and sort of project forward a little bit, but I think that it's still available. Certainly regulations will play a very, very big factor in how those brands and those businesses continue to grow, and I wouldn't say it's specific to the U.S., but we do still see that there are a lot of different innovation initiatives globally that certainly have value, and we do think about speed to product development and generally what is disruptive and scalable, so that regardless of Board will always continue to be the top of our priority list.
John Zamparo: Okay, that's helpful. Thanks. And my follow-up is on Cronos device labs, I just want to make sure we're right to interpret this move is Cronos being interested in not just the vaporizer space, but technologists focuses on the rare cannabinoids that you're looking to generate with ginkgo, is that fair?
Mike Gorenstein: That's 100% fair. I think, again, when we -- whether it's edibles, whether it's capsules or vaporizers, depending on the cannabinoid you really want to tailor the delivery system to the experience you're trying to create. So we put so much time and effort and thought into how to combine different cannabinoids and Terpenes to create experiences and in order to maximize that effort, it's important in the delivery system fits in with the cannabinoid formulation that we put in. And also on that is I think from a brand perspective and as we gain insights from ethnography studies, ultimately, what that device could be maybe very different depending on the cannabinoid formulation just in terms of form factor, and when you compare cannabis vaporizers to, say, tobacco vaporizers, you have a much bigger range of what consumers want. So, one vaporizer may be -- may score very high in a focus group for adult males, but score very low for adult females. And then you'll see something that's completely reversed. And I think it's important to have a suite of products that address different consumer needs versus trying to have one-size-fits-all.
Q – John Zamparo: Okay, that's great color. Thank you very much.
Operator: Your next question comes from the line of Matt Bottomley with Canaccord Genuity. Your line is now open.
Matt Bottomley: Good morning, everyone. Just wanted to touch briefly on the strategy for launching derivative products, hopefully industry-wide by Q4, we'll start seeing those rollouts. Just going back to your inventory balance not to beat a dead horse, but how should we look at your strategy with respect to kind of selling everything you can, given that there's a bit of a product shortage countrywide versus stockpiling a bit for a Q4 rollout. Do you think it's important to hit the ground running in the vape and edibles or whatever the categories are, or are you kind of playing it purchase order by purchase order now as the market evolves?
Mike Gorenstein: Thanks. I think right now it's certainly a balance between selling everything you have and making sure that you can load for launch. But a lot of the work that we've done in a lot of the data we've been collecting over the last few years has to do with post-processing and one of the reasons that we've been hesitant to accelerate third-party purchasing and contract growing for flower-based products is it's really difficult to get a consistent product, if it's not the same genetic or grown in-house. For vapes, there is a lot of we can do to bring in biomass or third party extracted products and then reinject, recombine different Terpenes and cannabonoid mixtures to have something that's actually standardized and then release. So given that, I think it allows us to actually accelerate and be a little bit more aggressive and we think vapes the categories are important to us and making sure we're able to launch with significant inventory is something that we are continuing to prioritize. So I think that when we think of the categories, we're certainly hoping by June, we're going to have the REGS publish and go final and assuming that's the case we will start to be quite aggressive in making sure that we have a pipeline of products.
Matt Bottomley: Great thanks. And then on the other side of things just on the retail side. Just wondering if there's any highlights or updates on your relationship with MedMen or even outside of that, how that that tender process might be going if there's certain provinces maybe Alberta where you think you might have stores open?
Mike Gorenstein: Sure. So it's still extremely strong relationship. I think at the end of the day, the cannabis businesses is a relationship business. And we've looked at the relationship with MedMen always as something that would start in Canada and expand globally. So we still continue to work with them. What we've seen and this is certainly no secret to any industry observers is that right now retail licenses certainly have slowed down. We do sort of have and it's a little bit chicken and egg problem. But as infrastructure needs to come online, it's important to watch how licenses are handed out. We're hopeful that by the start of next year, we'll start to see more licenses in Ontario. One of the benefits of the MedMen partnership versus starting a new brand is we don't feel that the same urgency to try to get brands on shelf to create brand awareness is something that we face with MedMen, we still look at it as the most established retail cannabis brand really by far and so we feel that we can wait until we can deliver a customer experience that was close to the customer experience you'd have in the MedMen versus Hollywood store. And I think being able to do that once value added products are online, once supply starts to catch up, we don't feel that there's any disadvantage by not having one of the earliest license given how strong the brand continues to be.
Matt Bottomley: Great, thanks. I know there's only two questions if I can just put a housekeeping item in there very quickly, are you able to disclose your percentage of revenues this quarter that were to Germany versus Canada?
Mike Gorenstein: Yes, I think you should have seven international brokered out, it should be in the financials.
Matt Bottomley: Okay, apologies, I will look at there.
Mike Gorenstein: All right, thanks.
Operator: Your next question comes from the line of Graeme Kreindler with Eight Capital. Your line is now open.
Graeme Kreindler: Yes, hi, good morning, and thanks for taking my questions here. The first question I had I just wanted to get an update on progress at GrowCo and considering the announcement out of Health Canada yesterday and changing in the licensing if that would have any effect on the timeline?
Mike Gorenstein: Sure. Yes, progressing quite well, I think it's a large enough structure that it's certainly quite public as to where it is progress wise as far as the announcement yesterday, it's something that we already have a application in for, so we don't know that it would be have much of an effect one way or the other, we're hopeful that not just for GrowCo, but also for other initiatives we have that this will have the effect of streamlining the licensing process. I think that there were a lot of applications going in and we think that anything that would -- anything that suggests service standards or kind of reallocating resources and prioritizing applications in Health Canada believes will imminently lead to more supply would be something that's more of a benefit to us. So we're certainly optimistic and we're really pleased to see that there is a conscious effort being made to make sure that the program runs smoothly in Canada.
Graeme Kreindler: Okay. Great, thanks. And just another question here I wanted to follow-up on the Colombia assets and with respect to growing more hemp there. I just wanted to get a bit more clarity from my understanding, there's a lot of supply of hemp biomass available in Canada and that continues to increase in the United States. So with respect to the amount of supply, that's out there in the market and focusing on growing that in Colombia, is there a significant cost advantage that you're expecting by focusing on the cultivation there?
Mike Gorenstein: Thanks. Yes, I think there is and it's not unique to hemp it really to generally just agricultural products, labor, climate, the number of cycles you can get per year, you've got a pretty big advantage in Colombia overall. So I think that's certainly a driver. And then when you start looking internationally and again for the deregulated space, we do see that having a low cost of production is going to be something that's going to be really important to drive margins long-term.
Graeme Kreindler: Okay, great. That's it for me. Thank you very much.
Operator: Your next question comes from the line of Robert Wertheimer with Melius Research. Your line is now open.
Robert Wertheimer: Hi, this is Rob Wertheimer. Is this me? I'm sorry, the intro was confusing. So just a couple, Rob Wertheimer, Melius Research. Just a couple of questions on your comments on vapes, I just wanted to understand the time frame a bit, the ability to sort of buy in biomass and tailor or recombine? Is that a statement that applies in the near term to 4Q, 1Q, 2Q kind of thing or would that take longer to do and then maybe just commenting on the timeframe on differentiated devices in the same vein?
Mike Gorenstein: Sure. Yes, I think that certainly does apply. Assuming again this is really say, all plans are contingent on how regulations develop, but assuming that we're able to have the derivative market open up, we think that there is a secondary market that's starting to develop and that there is availability. As far as we look at that like other and if we think of generally how consumer hardware works, it's really iterative. So it's not something where we're going to wait, wait years to have the end product. And it's something that we want to continually iterate and make sure that we're constantly improving. So you'll see l think multiple product lines but that is a long-term ongoing initiative where we think that the device market will become increasingly competitive and being able to iterate is going to be important. And I would contrast that with what you see in the nicotine device market. And it's important to remember that it's very difficult to launch new nicotine based devices because of the FDA restrictions and needing to apply for approval. So we think that because of using that as sort of one device being locked in, it isn't necessarily going to be applicable and a good comp for how things will develop in cannabis based market.
Robert Wertheimer: That's very helpful, thank you. And if I may just a follow-up on dry flower as some kind of timeframe as you get into more harvest coming out in 4Q or shortly thereafter. Market's been in shortage. Maybe there's less of a shortage by then who knows. Are you confident that you have the customer base and shelf space for distribution where we want to call it to sell through all the increased production, is that obvious to you or will it be a competitive fight at that time?
Mike Gorenstein: It is certainly hard to predict. But I would say that 4Q we think we are still extremely confident. We do believe though that the principles of supply and demand will 100% apply to Canada whether it's talked about or not. But it is inevitable. I think our model certainly being a little more asset light and not focusing on trying to be vertically integrated does rely on the assumption that supply will catch up with demand and we do expect that competition. As that continues to happen in the flower category, one of the things that we would expect will happen in terms of differentiation is understanding, how to still change format. So being able to have unique pre-roles and make sure that you have some brand element being able to work on standardization and consistency there and genetics will really be, I think what wins we're also seeing a lot of the, a lot of the brand selection right now based off of strain which again supports the importance of genetics. So it's really a long way of saying in the short-term absolutely. But there is demand and there is still a shortage but there's been a lot of capital, that's important, there is lot of planned projects and we do think that it will become competitive, but it's contingent upon execution across the industry which is always hard to predict.
Robert Wertheimer: Thanks so much.
Operator: Your next question comes from the line of Brian Thomson [ph] with Jefferies. Your line is now open.
Unidentified Analyst: Yes, I was just looking to ask a little bit around the derivatives side of things. I know it's been asked about but in terms of actual facilities or processes, I'm just on that whether Israel would be up and running, and contributing to any sort of products that may be on the market coming October or whether that will be after that? Thanks very much.
Mike Gorenstein: So, I think there is a number of different products will be released, and we wouldn't expect the full suite to be something that's released Q4. I think a lot of the formats we're still trying to understand what the final regulations will be in terms of packaging specifically for edibles. So we do still have facility space that is allocated that will allow us to enter certain categories, but as we see the market and regulations develop, we expect to be able to continue adding to the product line.
Unidentified Analyst: Okay, thank you.
Operator: Your next question comes from the line of Shane [indiscernible] Management. Your line is now open.
Unidentified Analyst: Hi, good morning guys. Thank you very much for the question. I don't mean to beat a dead horse here on the derivative products front within the Canadian market, but just want to ask kind of a follow-up question on, if you could add a little bit more color, you just mentioned you have facility space, could you add more color on kind of what additional investments from a kind of manufacturing process and machinery perspective that needs to happen and maybe a few -- if you're thinking about any specific categories that you're more focused on than others, whether it be beverages, edibles, or the like, that would be very helpful?
Mike Gorenstein: Sure. So, to be more direct, I think you could expect us to in the early days prioritize vaporizers first. I think that the regulations around vaporizers are we feel that those are much more likely to stay the way that they are today versus some iterate and change over time. Edibles for us it's really about understanding what those final regulations are and how we launch products, and specifically in what categories. Outside of Canada and thinking longer term, you'll see it in a lot of different categories of oral ingestibles. I'd also say topical is an area that we're focused on even sooner than just the research we're doing on skin [ph] in Israel, but Canada specifically, the regulations at least were proposed were different than what we've seen and we've been able to pull data from in the U.S., packaging sizes, how that affects pricing overall demand. So, before we put a significant amount of capital investment into unique packaging automation, we want to make sure that we know what the final regulations are, so that we're not taking up space and commissioning equipment that is for single-serve packaging only to find few months later that changes over to something that we're more used to in terms of multi-pack. But again prioritizing vape we feel there's more certainty and continuing to have a platform technology that allows us to move quickly and be flexible as we see the edible regulations publishes, is what we're working on.
Unidentified Analyst: Okay, thank you for that. And then just moving to Ginkgo Bioworks and Biosynthesis more broadly, and if there's any kind of color you can share on progress being made there, and also thinking about kind of the broader market and how biosynthesis is, the space in general is being more talked about, I think more accepted over time kind of versus last summer where no one was really thinking, it was like a viable solution longer term. So, if you could just talk about kind of how that space has evolved, and your mindset from a competitive standpoint and if you had any color on the progress at Ginkgo, that would be helpful? Thank you.
Mike Gorenstein: Yes. So, I think of all the initiatives we have, we still continue to be extremely bullish about the partnership and working closely with Ginkgo. We won't go into specific details on the technical milestones we've had. You can see the R&D payments in financials. We've been hitting milestones and continue to be extremely impressed, and with what Ginkgo has been able to do, how quickly they're able to do it, and generally just the breadth and depth of their platform. As far as competition and things heating up, I can say that we're -- we again feel very fortunate that we were sort of looking at this very early compared to the competitive set and we're able to have our first choice of partner. It's really not a surprise. I think that if you looked back a few years people thought about synthesis is futuristic StarTrek-like idea, where -- it'll happen in five or 10 years, and we'll figure it out. And I think now the entire cannabis industry is accelerating, and people are starting to look for how will cannabis be disrupted, not just how will cannabis disrupt other industries, and as that happens, companies start turning towards biosynthesis. So, it does in some ways validate thesis. We feel that we have a very strong advantage with Ginkgo being by far and away the leader in synthetic biology. So, overall confident, but we do expect that this space will increasingly have focus as the science is more and more understood.
Unidentified Analyst: Okay, thank you very much.
Operator: We have no further question at this time. I will now turn the call back to the presenters.
Mike Gorenstein: Thank you everyone, and have a good morning.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. Have a wonderful day.